Thomas Heath: Warmly welcome, everyone, to this Sinch Earnings Call for the Fourth Quarter 2023. My name is Thomas Heath. I'm Chief Strategy Officer and Head of Investor Relations. And with me today, I have our CEO, Laurinda Pang; and our CFO, Roshan Saldanha. And with those opening remarks, I'll hand the word over to Laurinda.
Laurinda Pang: Thanks very much, Thomas, and a warm welcome to everyone, who is joining us for today's call. I'll begin with some overall highlights and comments around our performance in the fourth quarter. I'll then ask Thomas to take us through some of the recent and very exciting developments in the global messaging market. And then to Roshan, who will guide us through our financials. I will then introduce our growth acceleration plan and some of the many concrete measures we are taking to improve our business and accelerate our growth. Before we dive into the fourth quarter, please turn to Slide 2 for a brief introduction to our business. We at Sinch are pioneering the way the world communicates. We are helping businesses throughout the world to communicate with their customers, leveraging cloud-based technology to interact with each unique customer in a timely, relevant and convenient way. Our Customer Communications Cloud powers more than 700 billion unique customer interactions per year on behalf of more than 150,000 paying customers. We are present in more than 60 countries and serve businesses of all sizes. In the full year 2023, we reported revenues of SEK28.7 billion, gross profit of SEK9.5 billion and adjusted EBITDA of SEK3.6 billion. We have been profitable and cash generative since our foundation in 2008 and generated SEK1.8 billion in free cash flow over the past 12 months. We build our strategy around profitable growth and look to lead our industry both through our organic efforts and inorganic expansion. Please turn to Slide 3, where we capture the most important developments in the fourth quarter. First and foremost, we are maintaining healthy margins, both at the gross profit and EBITDA levels. Our gross margin in the fourth quarter was 33.5%. This is the same level as in Q3 and a 0.7% increase over Q4 last year. Gross margins are stable across each of our four financial segments, but we do have a structural tailwind at the group level since the higher margin areas are growing faster. Our EBITDA margin was 11% and our adjusted EBITDA margin, which reflects underlying profitability on a comparable basis, was 13% in the quarter. Our leverage, measured as net debt to adjusted EBITDA, continues to decline. The ratio is now 2x, down from 2.2x in Q3 and from 2.7x at the end of 2022. Turning to cash flow, we again report a robust quarter with operating cash flow at SEK727 million. The conversion of adjusted EBITDA into cash flow reached 58% in the quarter, which is a ratio we calculate after both interest costs as well as CapEx. Looking at the full year 2023, our operating cash flow totaled SEK1.8 billion. We repaid SEK2.3 billion of debt during the year and have recently extended several debt maturities. This is an area that Roshan will cover further in the call. Our third area to highlight relates to what we've dubbed our growth acceleration plan. A foundational piece of this plan is the launch of our new organization, which we introduced back in October and which went operational as of the 1st of January. We have designed our new organization, what is really our new operating model to increase our focus on customers, unlock cross- and up-selling and leverage our company's global scale in product and R&D. We have gathered all customer-facing teams into a regional structure, and we have created global functions for product, technology and our support functions. This new structure will drive two important outcomes. First, it allows us to remove duplication and to free up resources, which we can then reinvest into growth initiatives. Second, it allows us to draw on our full capabilities and sell the entire breadth of our product portfolio when we interact with customers. This removes barriers to cross- and up-selling, supports net expansion and benefits organic growth. We said in October that we would share more details about the costs and benefits related to these changes. These are captured on the slide we are now reviewing. We expect IT transformation spend to reach SEK350 million over three years as we modernize our internal systems landscape through investments in CRM, ERP and data. We expect total integration and restructuring costs to reach SEK300 million in 2024, and we expect to realize SEK300 million in gross OpEx savings on a run rate basis by the end of 2024. I want to reiterate that we intend to redeploy the majority of these savings into growth initiatives. With those remarks, I now want to hand the word over to Thomas to go through recent developments around RCS, or Rich Communication Services, which is the air to SMS and now on track to become a new global standard for messaging.
Thomas Heath: Thank you very much, Laurinda. Please turn to Slide 4 for some of these recent developments. Now before we dive into RCS, let's spend a moment reflecting on why SMS is so widely used, both for private and business messaging. What truly sets SMS apart is its ubiquity and efficiency. It's installed by default on every mobile handset and nearly every person on the planet is a trained user. It doesn't offer a wide feature set, quite the opposite, but it's a proven way to break through the noise and reach someone where all other options fall short. Newer chats apps like WhatsApp and Telegram have added valuable features like group chat, read receipts and high-quality media sharing. They gain tremendous popularity and are often the go-to apps to communicate with friends and families. But although these proprietary apps have gained dominance in select geographies, none have reached the global ubiquity that we associate with SMS. This has long been the promise of RCS, or Rich Communication Services, to combine the ubiquity of SMS with the richer feature set that we associate with chat apps like WhatsApp. RCS is a standardized messaging protocol that builds on the strengths of SMS and addresses its key shortcomings. Whilst progress this far has been gradual, we're bringing this up today due to two distinct developments that materialized this often. In August 2023, Google made RCS enabled by default on all new Android hand – phones where the Google Messages app is used for text messaging. This is an important change from how things work previously when users would need to know about RCS and actively turn it on in their phone settings. Then in November, Apple announced that it intends to bring RCS support to the iPhone in late 2024. This marks an even greater change that will radically improve messaging interoperability between iPhone and Android users. An important part of the GSMA RCS standard is the feature set around business messaging. This is the part that's most relevant to Sinch, and our planning assumption is that Apple will support the full standard as laid down by the GSMA in future versions of iOS. The chart on this slide shows how important Apple is from an ecosystem perspective due to the high iPhone market share in some of our largest markets. With Apple on board, RCS can approach the ubiquity we associate with SMS. Today, RCS has over 1 billion monthly active users across the global Android ecosystems. This figure continues to rise as newer Android handsets have RCS enabled by default. Apple support will add close to 1.5 billion new RCS users, which will bring the total RCS user base up to 2.5 billion. By comparison, WhatsApp currently has around 2 billion active users. Please turn to Slide 5, where we illustrate some of the many benefits that RCS messaging brings to businesses and their customers. The slide shows how RCS can be used to deliver a digital train ticket. It leverages many of the key selling points of RCS with attractive branding, rich media and suggested replies. It's also sent by a verified sender that is registered and vested by a mobile operator, which adds an additional layer of security and provides comfort to end users. Now although it's always exciting to grapple with new technology, the value customer to customers will arise only when that technical capability is leveraged in an application that solves a real use case. So to see how RCS is adding real customer benefits already today, I want to hand the word back to Laurinda.
Laurinda Pang: Okay. Thanks, Thomas. And let's please turn to Slide 6 for a customer story that really showcases how the broader feature set of RCS is creating value both for the end user as well as for businesses. Already today, Sinch is the number one CPaaS vendor measured by RCS messaging volumes in multiple key geographies. France is one of those geographies and one of the customers we work with there already is Picard, the leader in high-quality frozen food retail. What we are seeing here is an advanced and immersive messaging experience. It is highly interactive and leverages both carousels, rich media and suggested replies. It is offering a conversational experience that lets Picard's customers create their own holiday menu and that considers things like dietary preferences, budget and how much time the cook wants to spend in the kitchen. The objective here is really to inspire Picard's customers, and they really are delivering a unique experience. However, RCS brings benefits also to simpler use cases. Verified sender, branding and improved analytics offers an improvement also for the one-way use cases that are most common in SMS today. That is why RCS offers a natural up-selling opportunity to every business that uses SMS today and why recent developments make us excited about the future progression of the overall messaging market. So with these encouraging proof points, I want to hand the word over to Roshan now, who will guide us through the financial performance in the quarter.
Roshan Saldanha: Thank you, Laurinda, and a very good afternoon to all of you on the call. I will take you through the key financials for the fourth quarter. Let's move to Page 8. We're happy to see that growth in net sales is up across the board versus the previous quarter. Net sales for the quarter increased with 2% year-over-year to SEK7.5 billion, helped by a currency tailwind of 2%. On an organic basis, net sales grew by 1%. In Messaging, net sales grew by 1% organically. In Voice, net sales declined by 2% organically. Our Email and SMB focused segments grew net sales measured at an organic basis by an impressive 10% and 15%, respectively. We continue to have strong customer intake in Messaging, signing 36 new large business customers in the quarter, transaction volumes in Messaging in the fourth quarter was 18% higher than corresponding prior year comparable period, however, India was the main driver of volume growth. In Voice, growth was hampered by lower sales to operator customers, strong performance for number verification in the comparison quarter the previous year and the previously communicated regulation of charges for American toll-free numbers or the so-called 8YY Reform. However, demand remains strong for Sinch's voice-based number verification services, which offer a competitive choice for global verification of phone numbers. Let's turn to the next, Page 9. Gross profit increased 5% on a reported basis to SEK2.5 billion. This increase was helped by a currency tailwind of 1%. Organic growth in gross profit was for Q4 was at 4%, up from an organic decline of 2% in the previous quarter. We are helped by easier comparables in the quarter. Looking at the individual segments, we see that the net sales growth is reflected in 3% organic gross profit growth for the Messaging segment. However, in Messaging, we are seeing signs of stability with gross product increasing 6% sequentially versus the third quarter and in constant currency. Note, however, that there is seasonality in the Messaging business with Q1 in historic years coming in at about 5% below Q4. For Email, gross profit increased by 15%, driven both by higher net sales and improved gross margin. Gross margin was 78% for the quarter. The gross margin improvement is mainly due to the migration of – to new cloud infrastructure in 2022, which is now fully reflected in the rolling 12-month basis. In the SMB segment, the American market continues to perform well with strong growth for SimpleTexting and Sinch Message Media. Gross profit increased on an organic basis by 15% year-on-year in the quarter. Turning to Page 10. This slide shows gross and EBITDA margin development for the business. Gross margin stability shows the strength in our product and pricing proposition towards customers. We believe that we can improve this over time as higher margin products are growing faster. On an aggregated basis, gross margins improved by 70 basis points over last year and were sequentially stable over the previous quarter. This change is driven by stable margins in Messaging, Voice and SMB, increased margins in Email and mix effect due to higher margin products growing faster. EBITDA margin continues to perform strongly in the quarter, buffeted by the cost efficiencies achieved despite inflationary headwinds. On Page 11, we showed the strong cash conversion from operating activities and after investments. Looking at cash flow in Q4 in the graph to the left, cash conversion after investments and working capital was above our expected range at 57% from adjusted EBITDA. In Q4, DSO and DPO were at the same levels as at Q3. During the quarter, we used the cash generated from the business to repay SEK1.1 billion of debt, bringing the total repayment in 2023 to SEK2.25 billion. The variation between quarters in cash flow is caused by net working capital. Hence, we prefer to analyze cash flow on a rolling 12-month basis. When we look at cash conversion from adjusted EBITDA on a rolling 12-month basis, as shown in the graph on the right, we see a strong and steady performance. We have generated SEK1.2 billion over the past 12 months. Over the medium term, we targeted cash conversion in the 40% to 50% range, rolling 12-month cash conversion was at 32% due to a weaker cash conversion in Q1 and Q2 this year, or last year, and affected by the higher interest costs. We paid SEK156 million in paid interest during the quarter, equating to an effective interest rate close to 6%. But due to the deleveraging that we have successfully performed, we do not expect this to continue to grow. Turning to Page 12. Here, we see the financial leverage ratio for Sinch, which is net debt over adjusted EBITDA. We are glad to report a continued deleveraging as expected with leverage now down at two thirds. The KPI excludes the impact of IFRS 16-related lease debt on both net debt and adjusted EBITDA. Deleveraging continues to remain a key focus area for Sinch, and we expect this ratio to continue to decline through underlying cash flow generation from operations and increase in adjusted EBITDA. Please turn to Page 13, where we give details on our debt portfolio. During Q4, credit facilities of SEK1.5 billion were extended in December by one year. The new maturity date is February 2025. In January 2024, credit facilities that amounted to SEK6.5 billion and US$110 million at the end of the year were extended by one year. The new maturity date is February 2027. We had cash and cash equivalents of over SEK1 billion at year-end in addition to the credit facilities. We maintain an ongoing assessment of our financing options and remain open to the possibility of refinancing all or part of the 2024 maturities if it aligns with our financial interest. Given our strong liquidity position, we could also consider redeeming the majority or all of the maturity debt – all of the maturing debt is beneficial. It's important to note that we expect to continue deleveraging. And because of that, we are cautious not to overextend our drawn gross debt. Any refinancing decision will be made with a balance between optimizing our capital structure and maintaining a prudent level of debt. On Page 14, we are reiterating our financial targets. Adjusted EBITDA per share measured on a rolling 12-month basis grew 14% at the end of the fourth quarter compared to our target to grow 20% per year over time. Our change in operating model and growth plan is intended to accelerate growth and thereby achieve margin expansion. Laurinda will provide more color on the plans and progress shortly. Net debt over adjusted EBITDA at 2x, excluding IFRS 16 leases, is well below our threshold of 3.5x, and we expect to continue to deleverage. With those words, I would like to hand back to Laurinda to take us through the Growth Acceleration Plan, Sinch and her closing remarks.
Laurinda Pang: Thanks, Roshan. Let's turn to Slide 15, please. Back in October, we announced a reorganization where we would organize all our customer-facing teams into three regions and bring together our technical staff into global product and technology organizations. We wanted to increase our focus on customers and extract greater economies of scale in our product, technology and support functions. This new organization became operational on the 1st of January and forms the launch pad for our growth acceleration plan. Last quarter, we showed you Slide 16, which illustrates how 2024 really is the beginning of a new stage in our journey. We are exiting an intermediary stage, which is how I would describe 2022 and 2023, where we focused very deliberately on cost control and cash flow. As you will recall, the macroeconomic environment worsened rapidly just after we have closed three large acquisitions in late 2021. We needed to adapt our business to a new situation where interest rates were higher, customer demand softened and geopolitical risks were suddenly elevated. This led us to operate those acquisitions as separate business units and to prioritize cost control and cash flow over initiatives that drive growth. As we now look back at six consecutive quarters of margin stability and a significant reduction in net debt, we can again turn to a more forward-oriented initiatives and direct our attention to actions that improve our growth rate. So with that in mind, let's go to Slide 17. Today, we are outlining our growth acceleration plan, which builds on the reorganization that we announced last quarter. Part of the plan is to equip our employees to reach their full potential by giving them the right tools and training to be more effective and to bring more customers across the line. We have identified several areas that have the potential to accelerate our growth, but which also require investments. At the same time, we need to protect our profitability also whilst undergoing transformation. This means that we need to reallocate resources by identifying areas where we can reduce our costs. I'm convinced that we can perform much better given our leading position in the industry. So Roshan, can you please guide us through the financial implications of these initiatives?
Roshan Saldanha: Thank you, Laurinda. On the slide, you can see a description of the main activities and benefits from the transformation program. The Growth Acceleration Plan will require additional spend of circa SEK350 million over a three-year period. Due to these investments, we estimate total integration and restructuring costs of SEK300 million in 2024, which includes partly the integration costs, but also other restructuring charges. The changes we are making to our operating model are expected to produce gross savings of about SEK300 million on an annualized run rate basis by the end of 2024. Most of these savings will be realized towards the end of the year, and we intend to reinvest these savings to drive organic growth. Overall, our aim is to maintain profitability as we undergo this transformation and let margin expansion take place through organic growth.
Laurinda Pang: Thank you, Roshan. So now let's move to Slide 18, please, which lists some of the concrete tasks that we have completed during the fourth quarter and offers a glimpse around the deliverables we expect to complete over the coming quarters. I won't go through every detail on this slide, but I do want to highlight a few important aspects. As you can see, we have grouped this transformation work under three headings. Go-to-market transformation is about winning in the markets we serve. A key milestone in this transformation is the design and launch of a new global sales organization where our customer-facing teams are organized into three geographical regions. Important next steps, which we aim to complete in the coming quarters, include the introduction of an integrated account coverage design and a new unified sales compensation model. Product integration is about exposing our full product capabilities in a unified offering. We have recently completed a body of work around product taxonomy, and our teams under the leadership of a Chief Product Officer are now busy forming a unified Sinch product strategy. Last, but equally important is operational excellence. I'm very pleased that we've completed rollout of the new organization, and we are now working to clearly define our target operating model for our business support functions. As we've mentioned in today's report, we have committed to short- and long-term emission reductions in line with the science-based targets initiative. Work now follows to set concrete targets that deliver towards this commitment. We hope this adds a little more color to our transformation journey. And before we turn to Q&A, let me briefly summarize the quarter. I am very pleased with the progress we made in the fourth quarter. We delivered improved organic growth, stable margins, robust cash flow and launched our growth acceleration plan. We generated more than SEK700 million in operating cash flow and further reduced our leverage. There is no reason to think that this year-over-year growth trend doesn't continue. As of January 1st, we are operating our business as one unified company. We are increasing our focus on customers, and we are leveraging our scale in product and technology. We are charting a path to higher organic growth and actively tracking our progress. So with those concluding remarks, we're now ready to take your questions.
Operator: [Operator Instructions] The next question comes from Predrag Savinovic from Carnegie. Please go ahead.
Predrag Savinovic: Hi. Good afternoon all. Thanks for taking my questions. So the organic gross profit growth in Messaging improves quite a bit in Q4 and up from Q3. And if we're looking at the comps here, you faced minus 8% growth in Q4 last year. And during Q1 now, you have pretty similar comparables also in the second quarter. I understand there is some seasonality here, but measuring this merely on a year-end perspective, surely, you should be able to have similar growth rates or higher in the next two quarters. I think also based on the new client wins, et cetera, you announced this quarter. Is that a fair assessment, would you say?
Laurinda Pang: Thanks, Predrag. I would say yes, that's a fair assessment.
Predrag Savinovic: Okay. Brilliant. And then turning to the growth investments you're signaling, which are, of course, quite interesting. But then we look at the business, what it's doing today. I mean operating performance is 4% organically this quarter without any of these benefits. So it is also safe to assume that the growth you're targeting is, well, quite well above what you're currently delivering and what you expect to deliver in the next few quarters.
Laurinda Pang: Well, Predrag, we're certainly not going to guide to that. I think, again, we're comfortable that the trends that we're seeing into Q4 from Q3 will continue. There is no reason for us to believe that, that will change. We are going through a fairly significant reorganization and a reshaping of our business. And there is a lot of work associated with that and a tremendous amount of change. So I would be careful to extrapolate a further number than what you just articulated. 
Predrag Savinovic: Okay.
Laurinda Pang: In the short term.
Predrag Savinovic: Okay, brilliant. And finally, the cost savings you identified, a lot of that seems to come from European CRM, which sounds as if you are pretty much done with integrating all of your acquisitions. Would that be true? And the benefits from that, apart from cost savings, I mean, in terms of cross-selling, et cetera, I'm sure that's part of the plan you're laying up. If you can give some more color on the integration phase of all these acquisitions as well.
Laurinda Pang: Yes, there is a lot in there. Let me ask Roshan to give his perspective on that.
Roshan Saldanha: Yes. So Predrag, I think when we think about the SEK300 million of kind of expected gross savings annualized to be reached by the end of 2024, I think, a lot of that is driven through kind of the operating model change that we've made, bringing together our various business units into one common organization and kind of identifying duplications and efficiencies as a result of that change. The investments that we're making, whether it is in terms of go-to-market, CRM, ERP, and so on, are expected to drive both organic growth and the cost efficiencies, but that is a little bit more midterm and not – kind of not to be realized to any significant extent in 2024.
Predrag Savinovic: Thank you very much.
Operator: The next question comes from Stefan Gauffin from DNB. Please go ahead. 
Stefan Gauffin: Yes. Hello, two questions please. First, there has been some turbulence in the market with MessageBird relaunching and claiming they can cut prices significantly on SMS, indicating increased price pressure in the messaging space. And I would just like to hear your view on this. And yes, what you are seeing. Secondly, just on the cash conversion, that was 32% in the last 12 months, and you have been claiming that you can deliver 40% to 50% cash conversion. Given that you have said that net working capital should be fairly stable over time and you have been paying down debt, do you see that you can deliver on the 40% to 50% cash conversion in 2024?
Laurinda Pang: Thank you, Stefan. I'll take the first question and ask Roshan to answer the cash conversion question. First of all, I am not going to comment on what anybody else is seeing in the marketplace. I do think it's important for us to at a minimum, reiterate our perspective on the economics around messaging. And that is that, number one, we obviously have one of the largest scale messaging businesses globally. And so we have relationships with all of the carriers, all of the mobile operators around the world, and deliver large volumes to most of those operators. We understand what the cost structures are from those operators. And we also have, I would call it, thin margins on – messaging – in the messaging business, I should say, sorry. And so we are very comfortable with the price points that we have with our customers. We have been in lots of conversations with our customers. We do it every day. So, it's a competitive environment. It's a competitive market. We don't see anything different today than we did one month ago. Roshan cash conversion?
Roshan Saldanha: Thank you. Yes. So Stefan, you are absolutely right. In a rolling 12 months, cash conversion at 32%. But when you look at Q4 individually, we did 50%, 70%, which is above our communicated range. So we did have a weak Q1 and Q2. And a lot of that is driven by movements in working capital, which we’ve always said it can be lumpy between quarters. But then the second piece, of course, is that we haven't maybe, when we set that range of 40% to 50% over time, estimate that the interest costs and the way they have developed during 2023. So looking forward, I mean, obviously, we've been deleveraging quite actively. And all else equal, that should help reduce the interest cost burden for Sinch. And so we do want to kind of get back to the 40% to 50% as soon as possible. And I think that's what we will enable to do.
Stefan Gauffin: Okay thank you, very clear.
Operator: The next question comes from Akhil Dattani from JPMorgan. Please go ahead.
Akhil Dattani: Hi, good afternoon. Thanks for taking the questions. I've got two quick ones for Roshan and then a more bigger picture one for Laurinda. So, if I start with the quick ones first. Roshan, you mentioned the debt extension. Can you just let us know if there is any change in terms in terms of the spreads or cost of those just to understand what the impact of that is. And then you mentioned on the call a couple of times the working cap swings and the fact that we should look at it beyond quarterly trends. But I guess the point that you probably get and I also get from investors is that if we look at the annual working cap moves, they're also very big. The last two years have been in SEK300 million and SEK800 million in a year. Can you maybe help us understand if there are reasons why that volatility could reduce or if it doesn't, what's driving it? Because I appreciate these things are hard to predict, but the swings even on the annual base are quite tricky to forecast.
Roshan Saldanha: Yes. So let's take your first question. I mean we can't obviously comment on contracts between us, we are not allowed to write between us and our banks. I mean, overall, we can just say that when we look at the effective interest rate that is at 6%, which we are – given where we are in the market that we operate in, we're very happy with the levels of costs that we have. And we’re also super happy with the fact that we have continued support from our bank group, and that's shown in the extensions that we're able to get and the headroom that we have in terms of our financing. Yes. And then I'll try to take your second question. I think one of the things, I don't know if people pay attention to that a lot, right, is to say when we look at net working capital as a percentage of revenues for Sinch, it's really low. It's in the low single digits. And that is really a proof point in terms of the asset-light nature of our business. Now what happens is that, obviously, due to the margins that we have and we operate with a single carrier or customer invoice, especially for large enterprises in relation to our EBITDA can play quite a large impact, right? So that leads to the short-term volatility that we see. But again, if you look over the last two years, I think we have improved working capital by more than SEK300 million. I think there are efforts on the line. Even if we look in the short term, as I said during my prepared remarks, DSO and DPO in Q4 is stable versus Q3. So again, we're doing what we can to make sure that we keep these trends as stable as possible, but we can be affected by single events, singular events.
Akhil Dattani: Great, thanks. And then the big question for Laurinda was just to understand how we think about the growth outlook. As you outlined in your opening remarks, the Q4 results were reassuring and you've got back to growth. And the general message you seem to be giving is about accelerating growth. So, I guess I was trying to understand the thought process around whether to give guidance or not for 2024. I just wondered if that was something you’d thought about as something to potentially consider. And I guess in that context, we had Twilio report last night, and they have guided to not hard numbers, but they have guided to a positive revenue growth for 2024 and also similarly positive EBIT growth for 2024. So, I just wondered, even if there isn't guidance, is that sort of a general, positive growth trajectory for 2024 consistent with what you're thinking for your business? And then one sort of clarification very much linked to that is you've mentioned in your press release the fact that macro unknowns are a contributing factor to what's making it hard to anticipate how growth evolves from here. But one of the things, I guess, I'm mindful of is that if we look at the global ad market and the marketing world, those areas have seen pretty pronounced rebounds in the last couple of quarters, if you look at Meta or Amazon or anyone else. The marketing and ad spend that enterprises are putting through their platforms is back to double-digit growth. So, I just wondered if there's any sort of green shoots that you're seeing in terms of behaviors from your customers that might give us some similar hopes?
Laurinda Pang: Okay. Sure, Akhil. So again, I won't comment on competition and how they've guided, but certainly can simply reiterate the fact that we did see some positive moves or positive momentum within Sinch over the past couple of quarters. So while we return to slightly positive organic growth in the fourth quarter, we did see that trajectory start to improve in the third quarter. So what we're seeing in the market is, or what we're seeing in our business rather is definitely more stabilization in messaging. We see strong – continued strong growth in SMB and in Email. We certainly have pressure on the voice side, as Roshan shared in his prepared comments. We will see again still year-over-year impact on the 8YY components within Voice. So that will remain for the first half of the year. And then, of course, you have seasonality in the first quarter. So I think you need to contemplate all of those as you're thinking about 2024. I think it's perfectly reasonable for you to ask for more, [indiscernible] and we certainly do contemplate that. And we have just gone through a very large reorganization. And while we have a perspective on the market and what we should aspire to achieve here, we also need to let this organization settle and from leaders who are now going to be accountable for these results to be in seat and know exactly what their plan is going to look like in order to achieve those results. So that's what I would say with regards to your first question. In terms of the macro from a marketing standpoint, we did see some good movement on the marketing side. And quite frankly, that's what has ruled some of the messaging strength.
Akhil Dattani: Great, thank you.
Laurinda Pang: Thanks for the question Akhil.
Operator: The next question comes from Laura Metayer from Morgan Stanley. Please go ahead.
Laura Metayer: Hi, thanks for taking my questions. Two questions, please. Can you give us a bit more details on what you're seeing in the Messaging segment around prices and volumes? I think you said that volumes are increasing in India, but can you give us a bit more details about the rest of the world outside of India? And then the second question would be around the SEK300 million in the IT tech investment that you're planning to do in the next three years. Should we expect most of that to come in the first year? Or is there a way to kind of think about it? Thank you.
Laurinda Pang: Thanks, Laura. I appreciate the questions. I'm going to ask Roshan to tackle both of them, actually.
Roshan Saldanha: Thank you. I think when it comes to the first question, Messaging, I can give some additional color. I think, as we’ve said, Messaging volume was up in Q4. We've also said, and that's really been the fact for the last couple of years, that the Indian market and especially Sinch in the Indian market, then continues to perform well, both in terms of volume growth and gross profit growth. Now India is still low single-digit share of Sinch as a whole. So of course, the impact on the group is limited to that extent. When it comes to the rest of the messaging business, I think when we're looking at Q4, we see definitely that marketing played a key role. I mean, seasonally, Q4 is a high commercial activity quarter for us, and it's been important to have that kind of turnaround. We did have some weakness in 2022, if you recall. So from that perspective, it was gladdening to see that trend change. We can also specifically see that in the case of LatAm, which we have commented earlier in the messaging context, where we've seen significant decline and quite harsh competitive environment, that we see a little bit better stabilization. It's not declining to the same extent anymore. So that is also helping the Messaging business. So overall, I think happy with some of the positive development in Messaging. And then on your second question, I think, it was related to the SEK350 million that we have called out in IT, but also other than IT investments that we plan to make over the coming three years. We haven't specifically commented kind of how that will be phased. I think from our perspective, we have started some of these investments late 2023. So, some impact is already in our Q4 results, but they are quite limited. It will take us some time to ramp during 2024 and then kind of really have the full scale of impact in 2025 and then kind of ramping down during 2026 towards the end of the year. So I think that's kind of the shape of the curve if you'd like. And I don't think we have been more specific than that so far.
Laura Metayer: Thank you.
Operator: The next question comes from Mohammed Moawalla from Goldman Sachs. Please go ahead.
Deepshikha Agarwal: Hi, good afternoon everyone. This is Deepshikha Agarwal from Goldman Sachs on behalf of Mo. So just I think two questions from our end, basically. First one is basically is on the gross savings plan. So it says there is it's in – it will be taking a reorganization cost of SEK300 million, but there is an investment of SEK350 million in total during that duration. So what is basically driving that delta between that? And then it says that there would be gross savings of SEK300 million. And in the past, what we have seen like when you launched the transformation plan last year, it kind of – it was better than what you had expected. So, how should we think about like, first of all, like the phasing of ramping up this run rate in terms of the gross savings? The second thing is basically on this operating model, it says that there would – like the focus will be more from the regional perspective. Does that mean anything would change when it comes to communicating the metrics, like the growth metrics? It's mostly like the question is more on the disclosure front, so will anything change in terms of like how we look at the growth metrics – especially from a segment perspective?
Laurinda Pang: Okay. Deepshikha thank you for both of those questions. I'm going to ask Roshan to cover both of them. But first of all, to first clarify what we are seeing with regards to the investments, and the cost savings, as well as the expenses for 2024.
Roshan Saldanha: Yes. So I think just to reiterate, right, what we've written in the report and said in our prepared remarks, we have SEK350 million of investments that will be made over the coming three-year period. Some part of that will obviously be as integration cost and others will be part of our normal OpEx. We have not given a breakup of that, and that might be something we'll come back to at a later time this year. The second piece of that is that we've said that we will also have restructuring costs during 2024 to enable our gross savings plan. And those restructuring costs during 2024, coupled with a share of the integration cost, which is part of the SEK350 million, total up to SEK300 million for 2024. We have not kind of given the breakdown of how much of that is each piece, so to say. And then finally, we've said that also by the end of the year, we will reach, aim to reach, an annualized gross savings of SEK300 million in terms of run rate. Now I'm very pleased to here call out that we over-delivered versus our previous cost-saving program. But that was – and I think that was in terms of time. So we reached our target a quarter earlier than we had planned. We will obviously enable to do within reasonable within a reasonable frame whatever we can to execute on this plan as well at least some time. So, I'll keep myself limited to that.
Deepshikha Agarwal: [Indiscernible]
Roshan Saldanha: And then I think the second question was on reporting. I think the only thing we've said is that we have changed – we are changing our operating model internally, and that will have impact on our external reporting. We expect that impact to – that change to be made in H1 of 2024. When we do that, we will also provide, obviously, comparable figures for the history and come back to that. But we have no more details to share at this point.
Deepshikha Agarwal: Okay. Okay, thank you.
Laurinda Pang: Thank you.
Operator: The next question comes from Fredrik Lithell from Handelsbanken. Please go ahead.
Fredrik Lithell: Thank you very much. Thank you for taking my questions as well. I thought that maybe we could disregard the figures and the economics of this program that you are implementing. And maybe Laurinda if you could talk more about the soft factors in this transformation you aim to do. And you had this Page 18 with tracking our progress and all things you aim to achieve. And if you could talk about where you feel you have the heavy lifting to do, and also how this will work and where you see a little bit of the risk. So that's the first question, really. The second one for Thomas on RCS, I thought there would be more questions on RCS. But it's finally happening. Thomas, can you enlighten us a little bit on Apple here? Do you see they will sort of do some type of over-the-air drop into the installed base and get them going in RCS? Or is this going to be sort of working through penetrating going forward in history? So that's one part. And then also, do we need something from the operators in order for the RCS to really get going, would be interesting to hear. Thank you.
Laurinda Pang: Okay, Fredrik, a lot in there. I'll start with the operating model and the business transformation that we're going through. To your point, on Slide 18, we do talk about the three buckets. There are a host of initiatives underneath each of these buckets. So, it's not just the six that you see in each one of these areas on this slide, there are a number of initiatives that are being prioritized and then sequenced so that the organization can absorb them and that they can effectively execute against them. I think there is no easy answer in any of these, quite honestly. And so as you think about degree of difficulty, complexity, it all amounts to a lot of change within the organization. But what this does give us is tremendous focus in each of these areas. I've been pleased with the ability for the company, and I mean the individuals within the organization, our colleagues, I've been impressed with their ability to step up to the large reorganization that we implemented in January. It took a tremendous amount of work in the fourth quarter. It may look to the outside like in north churn. But inside to the organization, it was a tremendous amount of lift in terms of how people report HRIS systems, payment systems, all of the reporting. So it was a big lift, and the team executed extremely well. So I'm fully confident that they will continue to rise to the ambition that we've put forth for them all. And we will – at this point, we've given you just the names of the deliverables themselves. We will be mapping and giving more clarity as we progress to what the KPIs are and what the expected value creation is that we get out of this work, but that's to come.
Fredrik Lithell: All right that was perfect.
Laurinda Pang: Yes. Thank you, Fredrik, for the question. Thomas, why don't you try the RCS answer here?
Thomas Heath: Yes. Thank you for the question, Fredrik. So, I think whilst we want to comment on behalf of Apple, we can, thinking a little bit by the implications from what they have communicated, right, so what Apple has communicated is support for the RCS standard and the GSMA standard. That implies enabling Apple handsets, iPhones to work with operators who support RCS. Now that, in turn, puts the operators in the front seat of RCS in terms of pricing, in terms of TFC, that's what it implies. It also means that operators need technology to support RCS. That's an area where Google has been very active over the past few years and have a very attractive and well-functioning offering for mobile operators, where Google offers cloud-based RCS service that operators can leverage. So, we certainly expect Google to be very central as a technology provider in the RCS ecosystems and for carriers to be able to transition SMS into RCS and to grow the overall messaging business that they've built up with further features and interactivity of that base. For us, of course, it means that we need to support our customers' enterprises, businesses throughout the world in this journey towards RCS, working with carriers throughout the world and leveraging the super network and operator relationships that we already have to date. Lastly, your question, I think, was on the handsets. iPhones will need software support in the handset. It's for – we'll see how Apple handles that typically, Apple in the lead in terms of backwards compatibility when they make changes to iOS.
Fredrik Lithell: That was perfect. Thank you very much.
Operator: There are no more questions at this time. So I hand the conference back to the speakers for any closing comments.
Laurinda Pang: Terrific. Thank you very much for everybody that participated, for your questions and certainly for your interest. Again, I am very pleased with how we have finished the year. It was quite strong in a number of areas. And we're excited about continuing to execute on our journey to accelerate growth, and we look forward to continuing to communicate with you and taking you along on that journey with us. Have a great day, everyone.